Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the Metro Inc. 2019 Fourth Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your speaker today, Sharon Kadoche, Senior Adviser, Investor Relations and Risks at Metro Inc. Please go ahead.
Sharon Kadoche: Thank you, Julien. Good morning, everyone and thank you for joining us today. Our comments will focus on the financial results of our fourth quarter which ended September 28, 2019. With me today is Mr. Eric La Fleche, President and Chief Executive Officer; and Francois Thibault, Executive VP and Chief Financial Officer. During the call, we will present our fourth quarter results and comment on its highlights. We will then be happy to take your questions. Before we begin, I would like to remind you that we will use in today's discussions different statements that could be construed as forward-looking information. In general, any statement which does not constitute a historical fact may be deemed as a forward-looking statement. Expressions such as expect, intend, are confident that, will and other similar expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industry, the general economy and our annual budget as well as our 2018/'19 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the Company and are subject to potential risks known and unknown, as well as uncertainties that could cause the outcome to differ materially. A description of these risks, which could have an impact on these statements could be found under the Risk Management section of our 2018 Annual Report. We believe these statements to be reasonable and pertinent at this time and represent our expectations. The Company does not intend to update any forward-looking information except as required by applicable law. I will now turn the call over to Francois.
Francois Thibault: Thank you, Sharon, and good morning, everyone. Before we begin, I would like to remind you that the acquisition of Jean Coutu closed in May of 2018 and the fourth quarter last year included the full contribution of Jean Coutu. So the fourth quarter, the result that we're reporting today are therefore comparable year-over-year. Turning to our results, total sales reached CAD3.9 billion versus CAD3.7 billion last year, an increase of 3.3%. In the quarter, we booked CAD18 million in cost synergies related to the Jean Coutu acquisition. Our annualized run rate of synergies now stands at CAD65 million. Gross margins stood at 20.2% of sales in the fourth quarter compared to 19.7% for the same period last year. Operating expenses as a percentage of sales came in at 11.9% versus 12.6% last year or 11.7% after excluding CAD31.4 million in expenses recorded for the pharmacy network closure and restructuring. The increase in operating expenses is primarily due to transportation costs and expenses related to e-commerce. Adjusted EBITDA stood at CAD321.6 million, up CAD23.7 million or 8% and represented 8.2% of sales versus 8% for the same quarter last year. The income tax expense for the quarter was CAD62.3 million, representing an effective tax rate of 27.1% versus 24.9% in the prior year. The reduced tax rate in the fourth quarter of 2018 is related to the sale of the remaining shares of Jean Coutu. Adjusted net earnings were CAD174 million compared to CAD161 million last year, up 8.1%. Adjusted net earnings per share were CAD0.68 versus CAD0.63 last year, and that's an increase of 7.9%. Our capital expenditures for the fourth quarter totaled CAD152 million, bringing total CapEx for the year to about CAD400 million. We had planned a higher CapEx But as we stated in our previous call delays in getting city approvals and permits for the Ontario warehouse modernization project push some investments to fiscal 2020. We expect total CapEx for fiscal 2020 to stand at about CAD550 million. In September, the Board of Directors approved a dividend of CAD0.20 a share as the same amount as in the previous three quarters, which represents a year-over-year increase of 11.1%. Under the normal course issuer bid program, we have repurchased a little under 2.2 million shares for a total consideration of CAD159.7 million and representing an average share price of CAD50.31. We remain committed in returning excess cash flows to our shareholders, and as such, we have renewed our normal course issuer bid program, giving us authority to repurchase up to 7 million shares between November 25, 2019 and November 24, 2020. Finally, we will be applying the new accounting standard IFRS 16 in fiscal 2020, which effectively abolishes the current distinction between finance leases and operating leases. As such most leases will be recognized in the balance sheet, meaning that as a lessee, METRO will recognize assets and liabilities with respect to operating leases for property, vehicles and equipment. Depreciation expense on these new assets and interest expense on these new liabilities will replace rental expense. As stated in our press release of this morning, we expect an increase in liabilities in a range of CAD2.1 billion to CAD2.3 billion, and an increase in assets in the range of CAD1.9 billion to CAD2.1 billion with the net difference recorded in retained earnings. We will be hosting a conference call within a couple of weeks to go through the provisions of IFRS 16 in more detail. That's it for me. I will now turn it over to Eric.
Eric La Fleche: Thank you, Francois, and good morning, everyone. We are very pleased with our fourth quarter results to close an outstanding fiscal 2019. We achieved strong comparable sales in food and pharmacy in Q4, while delivering solid margins and improved customer metrics. Food same-store sales were up 4.1% on top of 2.1% in the same quarter last year for a two-year stack of 6.2%. Performance was strong across our banners as we saw increased customer count, basket size and tonnage. Our internal food basket was at 2.8%, a slight increase versus the 2.5% reported in the previous two quarters. However, we're experiencing lower food inflation since October, as produce prices have stabilized. Pharmacy same-store sales, prescription sales and front-store sales all grew by 3.4%, marked by strong growth in OTC, HEPA [ph] and seasonal products. The integration with Jean Coutu is progressing well. As Francois mentioned, we realized CAD18 million in cost synergies in the quarter and CAD65 million on an annualized basis. Work in the [indiscernible] warehouse to increase automated capacity is ongoing, and the Jean Coutu retail systems are being deployed in the Brunet pharmacies. The next step is the renewal of the [indiscernible] collective bargaining agreement which expires in December. As previously mentioned, we expect to capture the remaining synergies starting in the latter part of this fiscal year. So I think we can say that our first full year with the Jean Coutu Group was successful and that we're on track to meet our CAD75 million synergy target after three years. Our warehouse modernization project in Toronto is underway. We received the permits to build the first phase of our semi-automated fresh distribution center in August. And I'm happy to report that the steel structure is up. We expect to start operations at the end of next summer. On the e-commerce side, sales in Quebec are growing at a good pace and our model is delivering a good customer experience. In the GTA, demand is ramping up faster out of the gate than it did in Quebec. That said, we have the required capacity and the team is working hard to learn the processes and become more efficient. Online sales still represent a very small proportion of our food sales and our model allows us to remain agile and add capacity as needed with more stores. We continue to invest in our food retail network during fiscal '19 with eight new food stores, including two relocations, as well as two conversions and 20 remodels. Nine stores were closed, such that our total net square footage remained flat. In the pipeline for fiscal 2020 we are budgeting 10 new stores, including three relocations, plus two conversions and 27 renovation project. Investments in technology at retail are on plan. More than 100 stores now have self-checkouts and we're planning on adding another 100 stores this fiscal year. Also, we now have 37 stores equipped with electronic shelf labels and we're targeting a total of close to 100 by year end. To conclude, I want to thank all members of the METRO team for their contribution to our solid performance. Despite a highly competitive environment , we are confident that we can continue to grow by staying focused on our customers, investing in our store network and infrastructure and executing well on our business plan. That concludes my comments, and we'll be happy to take your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks, and good morning, everyone. Eric, I was wondering if you could just comment on the competitive environment. And I know that you generally don't talk about performance of discount versus conventional. But as you know last week, Loblaw talked about a step up in competitive intensity in the discount segment and I was wondering if you could add your thoughts, please.
Eric La Fleche: Well, we don't comment on performance by banner, but I repeat my opening comment that our performance was strong across markets and across banners, very, very happy with that. The environment, we -- we said every quarter that it's very competitive, because it's true. It remains very promotional, highly promotional and the competition is always strong. So as there been a pickup in intensity, recently it ebbs and flows. It's -- to me, it's always competitive and we always try to be competitive. I can't say that discount in particular that we saw something more than usual. It's always competitive.
Irene Nattel: That's great. Thank you. And just on the e-commerce side, in your commentary you said that it was -- it's sort of out of the gate stronger, Jean Coutu was stronger in Ontario than what you saw in Quebec. Are there any other differences in terms of say, basket size or frequency of shopper? Are you noticing any meaningful differences?
Eric La Fleche: There are some differences. But it's still too early to comment, and for competitive reasons, I can't really comment. The comment on the speed of the ramping up. We expected it to be a bit stronger and it is, Ontario is a more mature market on the e-commerce side. There has been a grocery e-commerce offer out there for quite a while. So people are familiar with the service and are trying our service. So, again a good start in terms of volume, challenging for the teams at first, but we'll get around to it and then I think we have a model that will serve the customer well.
Irene Nattel: That's great. And just one more, if I may. You did have that nice pickup in gross margin in the quarter, if you could just talk a little bit about, show what went into that gross margin gain and how we should be thinking about the evolution?
Eric La Fleche: Yes, we're happy with that number. Some of it comes from the synergies with Jean Coutu, the procurement synergies, clearly we target some synergies. So it's -- we'd like to see it flow to the bottom line. That's a contributing factor. I think also the effective merchandising done by our teams. We are very focused in all of our food banners on fresh and that has a higher gross margin as you know. So that's also a contributing factor. We're also pleased with the performance of our private labels, increased penetration from them, which also contributes. So it's a combination of factors, but those are the three main ones.
Irene Nattel: That's great. Thank you, Eric.
Eric La Fleche: Thank you.
Operator: Your next question comes from the line of Michael Van Aelst with TD Securities. Please go ahead.
Michael Van Aelst: Thank you. Yes. Just, I guess to follow-up on that a little bit, because you did mention that competitive environment is intense, your same-store sales are very strong and your gross margins are up 56 basis points. So is there, apart from those three items that you mentioned in terms of helping the gross margin, is there anything else that you think you could point to that would be -- that would help us understand where you're outperforming the rest of the market without feeling the effect on the margins?
Eric La Fleche: So, the factors helping the growth pickup -- gross margin pickup. I mentioned the three main ones. I think it all sums up to effective merchandising. So try to be right product at the right time. I think our loyalty strategy and some personalization helps also. Again effective merchandising and shrink at store level is under control. So good store conditions, so an overall good strong performance is delivering a number, it's not one thing.
Michael Van Aelst: Okay. With respect to the OpEx growth of 5%, most of it's in that others line, you talked about transportation and e-commerce, are both of those in that others line?
Eric La Fleche: Yes.
Michael Van Aelst: And then -- and what else would be in there. I think advertising, if I'm not mistaken?
Eric La Fleche: Whole bunch of thing, advertising, publicity, a whole range of typical costs that go into the admin [ph] other than the four main line, three main lines this year on top.
Michael Van Aelst: So, the big drivers of that line where the transportation and the e-commerce delivery?
Eric La Fleche: That's right. That's right.
Michael Van Aelst: So are you willing to kind of -- wait the two?
Eric La Fleche: No.
Francois Thibault: No.
Michael Van Aelst: Okay. So -- and there is no one-time kind of or temporary costs applied to, like the DC switchover at Varennes or anything like that?
Eric La Fleche: Transport is the main culprit. We said that we would start the -- comping that by the end of Q1. So it's still going to -- still going to be with us for a while. And the rest is a bunch of real things, but the wages, the benefits, the rent that was under -- that was under control.
Francois Thibault: So just to add to that, Michael, the transportation contracts, we renewed a bunch of contracts with our carriers, starting at the end of Q1 into Q2 and Q3. A big -- the Wilson contract in Ontario was in Q2 with large unusual increases. So we have -- we are living with those right now and we'll continue to be affected by those increases until the end of Q1. So that's the main one.
Michael Van Aelst: And finally on synergies, are you able to split it up at all between COGS and OpEx?
Eric La Fleche: We certainly can, but we don't disclose that.
Michael Van Aelst: Yes. I meant to ask, pardon me.
Eric La Fleche: You're right, it's a combination. There is procurement which goes into gross margin and then there is some SG&A reduction like salaries, cost, corporate costs, that are no longer there. There's a whole bunch of admin reduction that are part of the operating expenses. It's in both lines.
Michael Van Aelst: Okay. So when I take the -- when I do the simple math and I take the CAD18 million divided by 12 weeks and multiply it times 52 to get an annualized number, it would come out about 78 I think and you talked about a CAD65 million run rate. So is the difference retroactive benefits that are kind of temporary and --
Eric La Fleche: That's right, Michael. That's exactly it. So when you book -- when you negotiate your agreements, there is sometimes amounts that go back to previous months or to the closing which you weren't, you didn't have -- you didn't have in place in previous quarters. So there is that portion. So that's why we gave you the annualized run rate, so that, you don't think that we're at CAD78 million [ph]. So the true number if everything stops today and we don't get one more dollar of synergies you would expect to see CAD65 million flow through our P&L on an annual basis.
Michael Van Aelst: Okay. And most of that retroactive, with that -- would that be right to assume that that's in the COGS?
Eric La Fleche: Yes.
Michael Van Aelst: Thank you very much.
Operator: [Operator Instructions] Your next question comes from the line of Karen Short with Barclays. Please go ahead.
Renato Basanta: Hi, this is actually Renato Basanta on the line for Karen. Good morning. So, I just wanted to just follow-up on your e-commerce business. Can you talk about what you're seeing with respect to average ticket in e-commerce versus in-store purchases? And I suppose related to that, what you're really seeing with respect to incrementality, in other words, is it a new customer that's shopping your stores from, or your banners from an e-commerce perspective, or existing customer shopping more? Any color there would be helpful?
Eric La Fleche: So, as we said on previous calls e-commerce average ticket is quite a bit higher than the average basket in our stores. It's a bigger shop, it's a continuous wave -- just a bigger shop, we said before, and we remain pleased with the mix in the basket. The gross margin that it gives us, so it's a good healthy basket. I'll just leave it at that. On the incrementality, so our data -- and with our Metro & Moi program in Quebec, we can track the behavior of our loyal METRO customers. So I think the data shows that we're getting more dollars from existing loyal customers. And we're attracting some new customers with the METRO banner that went shopping with us before, as well as cannibalizing some of our existing METRO sales, but net-net, we see in Quebec incremental sales, in Ontario, I will reserve my comment. It's too early to give you any color.
Renato Basanta: Okay, that's helpful. And then just on your -- I guess, ex-inflation expectations. You talked a little bit about a slowdown and then it also looks like your internal inflation came in below the Ontario and Quebec, CPI by -- it looks like about 100 basis points. Can you talk a little bit about your expectations going forward for inflation and why your inflation continues to come in below the industry figures?
Eric La Fleche: Well, the reported -- the number we report is what we sell in our stores. So it reflects with the customers' pace at the till for what they buy versus last year. So it's effectively what we sell. Typically that's what we see in our markets, that our observed inflation is typically, not always but typically lower than the reported CPI. So that's not really big news. As far as expectations, we don't have a crystal ball, I mentioned on October, we're seeing lower inflation that can remain, that can change, it fluctuates, last year at this time inflation was increasing. So as we are cycling higher levels of inflation. It will be interesting to see what happens this year. Commodities are in play. FX is in play. So it's very hard to give you a guidance. We typically budget for a 2% type of inflation lift. We'll see if we -- if it's there or not as the year goes along. Meat situation, right now, are seeing some inflation in meat. The China situation with protein, now that they've reopened the market could have inflationary impact. We'll have to see, it's really, truly week by week. Keep you posted.
Renato Basanta: Okay, that's helpful. And then just last one from me, you talked about the self-checkout and electronic shelf labeling programs, seem like they are progressing nicely. Can you talk about what you're seeing there from a labor savings perspective and also any feedback you're getting from customers on the in-store experience, and then how do you expect to continue to ramp those programs to additional stores going forward? Thank you.
Eric La Fleche: Okay. So yes, we are installing the self-checkouts to improve the customer experience by improving speed at checkout. So that especially in stores with a smaller average basket, higher customer counts, those self-checkouts had been there, are being added, are very welcomed by the customers. So I think it's a plus for customer experience. And on the productivity side if we manage our hours well, if it's monitored well, which we try to do, we are seeing some labor savings as expected to provide the return on investments. So, so far so good. And that's why we are actively rolling them out and we measure store by store, what's the penetration we get, do we get the labor savings. It varies, it's not the same everywhere. So it won't be installed in every store. But we see a good opportunity to continue. So as I said, we have over a 100 done and we'll do 100 more of this fiscal year. It's a significant investment, but one that will provide returns for us and we expect to give a plus the customer experience. Electronic shelf labels, I think customers getting very few comments, they hardly see it. The shelf labels are electronic, but they look almost like paper. So people hardly see the difference. We see the difference in terms of labor savings and price accuracy and better layouts in terms of -- if you're out of stock, there is a whole, the ticket remains there. So you have to fill. So it's been a positive experience for us so far. So again, we'll keep you posted, but we're on a plan to roll them up.
Renato Basanta: Okay, great, thanks. Best of luck.
Eric La Fleche: Thank you.
Operator: Your next question comes from the line of Mark Petrie with CIBC. Please go ahead.
Krishna Ruthnum: Hi, this is Krishna Ruthnum on the line from Mark. I was wondering if you could give us some color on the performance of the HMR category in the quarter.
Eric La Fleche: Well, it's mostly on the METRO banner in both Quebec and Ontario. It's a growing category and that's also contributed to the gross margin slightly. But yes, it's a growing category. So I think we're doing a better job improving the quality and providing a good customer experience. The renovated stores, the new stores have expanded HMR, hot foods, cold offerings also, self-serve with some sit-downs. Most of our stores don't have enough space for sit down areas. But yes, it's a customer need and a growing customer need that we're trying to meet as best we can. And it's a growth category for us and a big focus for our METRO teams in both Quebec and Ontario to grow that category.
Krishna Ruthnum: Okay, thanks. And just a follow-up on that, can you talk about your performance to date with food aggregators and whether or not it's met your expectations, and just looking ahead, do you see MissFresh fitting into your aggregator partnerships as well?
Eric La Fleche: I'm sorry, I'm not sure -- I know -- just like food aggregators.
Krishna Ruthnum: By food aggregators, like Skip the Dishes, partners that you're working with on the HMR side?
Eric La Fleche: Okay. Sorry, I didn't get that term. Yes. We have done -- we're doing some test or small partnerships with Uber and Skip the Dishes. So again too early to comment, something that's in trial and growing a little bit from a zero base. So we'll just have to wait and see. That's one more convenience offer that we try to offer for the customer that wants that type of service. But it's not a material factor.
Krishna Ruthnum: Okay, thank you.
Operator: Your next question comes from the line of Keith Howlett with Desjardins Securities. Please go ahead.
Keith Howlett: Yes. I just had some questions on store formats. Specifically, I was wondering on Adonis, how that's doing? You've put one of your senior executives in charge of that. I was wondering what that specifically means. And whether Adonis is meeting expectation or what's going on there? And any comments you had on your smaller newer format Super C and METRO stores?
Eric La Fleche: Yes. So Adonis is a growth engine for us. We want to grow that banner. Christian Bourbonniere who was a long time METRO executive wanted to, not slow down, because it's not a slowdown type of job, but move on to something else and passed the baton, if you will -- to actually Head of Quebec as planned, as part of our succession plan. And Christian will be the perfect candidate to structure Adonis to be able to grow. So Adonis is a great format, it's a differentiated offer, but need some, let's say structure and processes to be on a more solid foundation to grow more rapidly. Now, he's going to be taking care of that, with the Adonis initiative. Same team, new leader, I think for bigger and better things. We opened a third store in Toronto, this summer in Mississauga, ramping up nicely. And we're opening a new store in Ottawa tomorrow for Adonis, expecting good things over there. We have opened one last year in Getsnu [ph] on the other side of the river. So we'll have two, in that region. So yes, we see a few more opportunities in Quebec and hopefully more in Ontario down the road to grow that format. The smaller Super C, we have a few small Super Cs, we're opening a new one in a couple of weeks in downtown Montreal under, around 20,000 square foot. It will be at the full Super C offer with limited, I should say limited linear footage for grocery, but we will have a Super C program in that store. Different format in the sense that it doesn't have the typical large box and large parking, but we think there is a good market to serve in discount in that part of the center of Montreal, and we'll see where that goes. METRO stores, we have a few -- we opened one in METRO at Bathurst, in Ontario at METRO in -- sorry, Bathurst and Steeles after a good start 20,000 square foot very fresh focused, very HMR focused. And I think will be -- we'll do well in that community. So really same for us, same strategy, market by market, what's the best format. What's the size and we try to make an investment that will pay off and that will generate enough sales and profit to justify the investment. So we have a few in the pipeline and we will keep growing that way.
Keith Howlett: And then a question on loyalty in Quebec; are you able to marry the Metro & Moi data with Air Miles data, by customer or is it sort of two separate pillars?
Eric La Fleche: No, we do not; they are two separate programs.
Keith Howlett: And then, just a question on the discount versus conventional banner, when it comes to things like shelf tags and automated checkout, are you putting them in both discount and conventional or is it skewed to conventional?
Eric La Fleche: We're putting into both, the self-checkouts it was more in conventional. We're adding some in discount as we go along. Self-checkouts have started, electronic shelf labels have started in discount. More in discount, I would say and we're adding some to METRO. So it depends, really it's store by store, market by market with the opportunity and where does it makes sense. So we don't have a one size fits all, but we will make the right decision for the right store with the right technology, improved customer experience when we can and get better productivity to address labor shortages, which remains a challenge in our business.
Keith Howlett: And when it comes to online, you've got two major competitors in discount that are doing either pick up at store or deliver to home perhaps, I guess in certain regions. What's your view on online in the discount channel?
Eric La Fleche: I'll reserve my comments. We're really focused on our model with the METRO banner in both of our markets [Technical Difficulty] plate is full. We see online and convenience, additional service for the METRO customer for now, never say never, but we have no plans to bring it to this for now.
Keith Howlett: And then, just finally on the Jean Coutu cost synergies; will your intention be that once you go over CAD75 million, that you would see talking about it or is there any possibility you may revise the number upwards before you stop talking about it?
Francois Thibault: No, I think that once we once we've achieved the CAD75 million, we will stop reporting it.
Keith Howlett: Thank you.
Operator: Your next question comes from the line of Peter Sklar with BMO Capital Markets. Please go ahead.
Peter Sklar: Just one question for you. With the tight labor markets that we're seeing particularly in Quebec, I think it's almost record levels of unemployment. I'm just wondering, is that impacting store operations or in any way that would impact results or are you managing your way through that?
Eric La Fleche: So the answer is, it's a challenge. I suspect it's a challenge for everybody in retail, it's a challenge for us who were at the staff stores. We are managing through it, but it does have an effect, because if employees don't show up or if you have vacant position at certain point conditions reflect that. So we're not perfect, but I think we manage well and, but it's a big challenge, and that's why technology, like self-checkout or shelf labels helps and making them making the job simple for our store people, because there are challenges to find labor. So we managed through it. It's manageable. But it's a challenge that we face.
Peter Sklar: Eric, you think you like METRO or any of your franchisees have had to cut back store hours from what they would otherwise like them to be, because of the labor issue?
Eric La Fleche: No, we have not gone to that level. Don't see that the time short term, mid-term, we don't want to get there. We have to find ways -- to find staff, retain staff, motivate them to keep them on board. And so it's a joint challenge for our operations people with our HR people to attract the right talent and be able to -- be in a position to keep them, and keep them with the Company. So yes, the short answer is no. We don't want to cut hours. We want to maintain our hours.
Peter Sklar: Okay, thank you.
Operator: Your next question comes from the line of Michael Van Aelst with TD Securities. Please go ahead.
Michael Van Aelst: Thanks. Just a quick follow-up on MissFresh. I know it's a small part of your business. But can you give us some color as to your experience so far with MissFresh in growth and profitability?
Eric La Fleche: So, MissFresh is a small part of the business. It's a small market, it's growing somewhat, marketing expenses are significant in the meal-kit industry. So somewhat challenging economics, but it's a good service with good quality that loyal customers appreciate, and the experience in store for us selling meal kits is -- we did some test and we're going to do something different, not -- it's been great so far, but we're looking for more performance from them, but again minor -- should I say, it's a small part of our business and it is a start-up. So leave it at that.
Michael Van Aelst: Yes, I mean do you clear that it's start-up. Hi expenses upfront and things like that. But long term, do you actually see a business model that can actually be profitable or is this something that you are just doing to test out and as a defensive measure?
Eric La Fleche: Well, for us it's a test, it's a lab. It's a small business, it's online, it's run separately. As I said, the economics are challenging at first and we'll see where it goes. So it's -- for me a bit too early to comment on the future, the long-term business model. If you can answer your question, I'll just leave my comments.
Michael Van Aelst: Thank you.
Operator: There are no further question at this time. I will turn the call back over to the presenters for closing remarks.
Sharon Kadoche: Thank you all for your interest in METRO, and we will speak again soon to discuss our first quarter results on January 28. Thank you.
Operator: This concludes today's conference call. You may now disconnect.